Executives: Michael Mühlbayer - Head of Investor Relations & Treasury and Senior Vice President Dieter E. Zetsche - Chairman of Management Board and Head of Mercedes-Benz Cars Bodo K. Uebber - Chief Financial Officer, Head of Finance and Controlling - Daimler Financial Services and Member of Management Board Andreas Renschler - Head of Daimler Trucks and Member of Management Board
Analysts: Horst Schneider - HSBC, Research Division Fraser Hill - BofA Merrill Lynch, Research Division Rabih Freiha - Exane BNP Paribas, Research Division Stuart Pearson - Morgan Stanley, Research Division Jose M. Asumendi - JP Morgan Chase & Co, Research Division Stephen Reitman - Societe Generale Cross Asset Research Frank Biller - Landesbank Baden-Wurttemberg, Research Division Jochen Gehrke - Deutsche Bank AG, Research Division Michael Punzet - DZ Bank AG, Research Division Christian Ludwig - Bankhaus Lampe KG, Research Division Philippe Houchois - UBS Investment Bank, Research Division Christian Breitsprecher - Macquarie Research
Operator: Welcome to the global conference call of Daimler. At our customers' request, this conference will be recorded. The replay of the conference call will also be available as an on-demand audio webcast in the Investor Relations section of the Daimler website. The short introduction will be directly followed by Q&A session. [Operator Instructions] I would like to remind you that this teleconference is governed by the Safe Harbor wording that you find in our published results documents. Please note that our presentations contain forward-looking statements that reflect management's current views with respect to future events. These forward-looking statements can be identified by expressions such as assume, anticipate, believe, estimate, expect, intend, may, plan, project and should. Such statements are subject to many risks and uncertainties, examples of which are set out in the Safe Harbor wording in our disclosure documents. If the assumptions underlying any of the statements prove incorrect, then actual results may be materially different from those expressed or implied by such statements. Forward-looking statements speak only to the date on which they are made. I may now hand you over to Dr. Michael Mühlbayer, Head of Daimler Investor Relations and Treasury. Thank you very much.
Michael Mühlbayer: Good afternoon. This is Michael Mühlbayer speaking. On behalf of Daimler, I would like to welcome you on the telephone and the Internet to our full year results conference call. We have with us today the Chairman of the Board of Management and Head of Mercedes-Benz Cars, Dr. Dieter Zetsche; our CFO, Bodo Uebber; and the Head of Daimler Trucks, Andreas Renschler. This morning, at the annual press conference, Dr. Zetsche and Bodo Uebber presented our figures in detail. The speeches as well as our charts are available on the Daimler website. Therefore, we will start the conference call with a short introduction, focusing on Q4 and to have more time for Q&A afterwards. Now I would like to hand it over to Dr. Dieter Zetsche.
Dieter E. Zetsche: Thank you, Michael, and good afternoon, ladies and gentlemen. Thank you for joining us. I'll begin with a summary of our 2012 full year results and our fourth quarter figures. Then I'll briefly outline our next strategic steps, focusing on how we will bring together growth and efficiency in our divisions to secure our overall profitability. And I will end with our outlook for 2013. On the whole, it's fair to say that 2012 was a good year for Daimler. Despite some challenges in important markets, we were able to increase our group sales by 4% over the previous year. Mercedes-Benz Cars set a new sales record with 1.45 million vehicles sold, and Daimler Trucks increased its unit sales by 9%. Group revenue rose by 7% to EUR 114 billion. However, 2012 was also a year characterized by very mixed economic and business conditions, including increasingly challenging environment in many important markets that resulted in competitive pressure, high investments in our product offenses and global presence and the fact that our car business in China fell short of our own volume and earning targets. As our final figures show, our EBIT and profitability were negatively impacted by those factors. In line with our guidance, during the third quarter disclosure, we achieved group EBIT from ongoing business of EUR 8.1 billion and a net profit of EUR 6.5 billion. As a result, our earnings per share were EUR 5.71. The free cash flow from the industrial business amounted to EUR 1.5 billion for full year 2012 despite ongoing high investments. Accordingly, our industrial net liquidity was at the level of EUR 11.5 billion at the end of December. Our dividend proposal of EUR 2.20 per share represents a payout ratio of approximately 40%. This is in line with last year's distribution and reflects the good results in 2012 from the ongoing business, as well as the successful EADS transaction. We want our shareholders to participate appropriately in our financial success, and we anticipate a continuation of this dividend development in the coming years. Our dividend policy remains to pay out 40% of the net profit attributable to the Daimler shareholders. Now let's turn to our fourth quarter results. Group revenue increased by 3% in Q4, driven by our passenger car division, where revenue grew by 7%. However, our EBIT from the ongoing businesses was below the previous year's result at EUR 1.7 billion. Profitability in the fourth quarter was adversely impacted by difficult market conditions, especially in Europe, lower unit sales of trucks, vans and buses, and partially less favorable model and regional mix, and our decision to reduce production at our car and truck divisions, which resulted in the lower fixed cost coverage. The free cash flow from the Industrial business reached EUR 2.6 billion. It benefited from both the working capital reduction of EUR 1.3 billion and proceeds from the EADS sale of EUR 1.7 billion. Now looking ahead, our agenda is clear. In 2013, we focus on doing our homework in terms of growth and efficiency at Daimler. As far as growth is concerned, we'll continue with our product offenses. At Mercedes-Benz Cars, the CLA and the new E-Class will hit the market in the second quarter, followed by our flagship, the all new S-Class, in the summer. Product rollouts in the commercial vehicle business are equally strong with the Arox (sic) [Axor] the new Atego and the new-generation Sprinter, all coming this year. Therefore, we expect higher unit sales in all divisions despite difficult market conditions in several key markets. At the same time, it is important to ensure that our growth also turns into higher future profitability. That's why the growth strategies of all our divisions include an efficiency program as a key component. In our Car business, for example, we've complemented our growth strategy, Mercedes-Benz 2020, with the efficiency initiative Fit for Leadership. At Daimler Trucks, we are continuing our global excellence strategy with Daimler Trucks #1, a program we announced in 2012. With these 2 initiatives alone, we are targeting annual EBIT benefits totaling EUR 3.6 billion by the end of 2014. In our other divisions, we've set savings targets as well. Let's have a closer look at Fit for Leadership. We're working on 2 levels here in the short term about safeguarding our earnings. We're planning EUR 2 billion in cost improvements by the end of 2014. About EUR 600 million of our overall reductions will be achieved already this year. In general, we will enforce and accelerate both established and new efficiency measures. As a prime example, you'll recall the Net Zero approach we outlined at our last Capital Market Day in Hungary. The original target of this approach was to offset cumulative material cost headwinds with efficiencies by 2017. Now we have accelerated this initiative. As a result, we'll be able to achieve this goal 2 years sooner. That means our accumulated cost increase by 2015 will already be balanced by increased efficiencies at that time. In addition to this short-term measures, we're implementing medium-term structural measures to improve the MBC system as a whole. It's still a bit early to discuss most of these measures. We're hard at work on them right now, and we'll inform you about our progress in due time. Let me give you one example of structural measures we have already implemented in our passenger car business in China. We achieved important milestone at the wholesale level there last year by setting up an integrated sales company to handle both our locally produced and imported vehicles. We created a single flow distribution system to enable more growth and more efficiency. We also increased our equity interest in the import company, Mercedes-Benz China, to 75%. On the retail side, we accelerated the expansion of our dealership network to 260 outlets at the end of 2012, and we will grow our network further at the pace of 50 additional dealers each year. To underline the great importance the Chinese market has to us, we also set up a new management board position for China to which we appointed Hubertus Troska. Only last week, we took another important step to move our Chinese business to the next level. Our strategic investment of a 12% equity interest in BAIC Motor. This investment makes us the first non-Chinese passenger car manufacturer to take a stake in the Chinese OEM. In addition to these structural measures, we're working on renewing and expanding our product portfolio to better fit the Chinese market. We already upgraded our locally produced C and E-class at the end of last year. In the first half of this year, we will launch the new A-Class and the new GL in China, followed by the new E-Class in this summer. The new S-Class will come next at the end of this year. All of these changes will not bear fruit overnight, but they will deliver improvements over the course of this year and well into the future. We are absolutely determined to leave no stone unturned to get our business going. This goes for our business in China, and this goes for our business in general as well. So much for the efficiency measures at Mercedes-Benz Cars. We are making comparable progress in the remaining divisions. Looking ahead, that's how we intend to consistently move forward. We assume that the weakness of major markets will at first continue in the first half of 2013. We, therefore, anticipate a weaker development of our earnings in the first half of the year compared with 2012. The first quarter of 2013 should be the low point this year. Due to our brand-new models, the assumptions made for the development of markets important to us and the increasing effects of the efficiency measures we have initiated, we expect EBIT from the ongoing business to improve in the second half of 2013 compared to the level of the first half. For full year 2013, we expect group EBIT from the ongoing business to reach the magnitude of the prior year based on expected markets recovery in the second half of this year. For Mercedes-Benz Cars, we anticipate full year EBIT from the ongoing business of slightly below last year's level. The other automotive divisions are expected to achieve higher earnings in 2013 than in 2012. For financial services, we expect stable earnings in the next 2 years. Looking beyond this year and into 2014, the changes in our operations, sales and markets will become evident. In Mercedes-Benz Cars, we will have a significantly younger model lineup than today. And our portfolio will be broader, for example, with completely new models like the new compact SUV. Meanwhile, our business model in China will be ready to fully exploit its potential. Daimler Trucks will benefit from the successful implementation of its product offenses and regional launches, including the completed Euro VI rollout in Europe. And all of our divisions will implement their initiatives to further enhance efficiency. These initiatives will enable us to turn the benefits of our ongoing product offenses, as well as the growth potential of new markets into profit in the coming years. In 2014 and beyond, we expect to see an improvement in operating earnings for all Automotive divisions and business units, as well as for the group. Thank you for your attention. We'll be happy to answer your questions now.
Michael Mühlbayer: Thank you very much, Dieter Zetsche. Ladies and gentlemen, you may ask your questions now. I will identify the questioner by name, but please also introduce yourselves with your name and your organization before asking your questions. [Operator Instructions].
Operator: [Operator Instructions]
Michael Mühlbayer: So we will start with Horst Schneider.
Horst Schneider - HSBC, Research Division: It's Horst from HSBC. I've got a couple of questions. First one is on Mercedes Cars. So you say that you plan with the further unit sales increase, and I would be interested if that also means that you can outperform the overall market or if you will perform just in line with the total market. And then with regard to the earnings, you say that you expect slightly lower earnings at Mercedes Cars, and I don't get fully why that is the case. So you say you have got a small negative currency impact, you have got a slight positive net pricing, you have got rising volumes, implying positive operating leverage, and you have got cost cuts. So I want to get a feeling for the magnitude of the potential negative product mix that we see at Mercedes potentially this year. And I also want to know if that implies that we see a decline of the revenues per unit. And then the last question that I have is on free cash flow. Since you guide for roughly unchanged EBIT in 2013, stripping out the one-offs from the free cash flow in 2012, should we work with the assumption that the free cash flow is also unchanged or should we work with the rising free cash flow since we might have got more positive working capital effect?
Dieter E. Zetsche: To your first point, we do have a continuation of Q1 record high levels of investments and spendings into the product expansion, the product renewal and CO2 reductions, which increases the content of our vehicles in a cumulative way. And you are talking about this Net Zero approach, so we have cost improvements, but they are going against these increases. And as we said, in 2015, we want to totally offset them. This is not the case in 2013. And we have certainly a mix shift as we will see significant increase of our compact cars during this year. And if you want at the other book end, the S-Class is only having the impact at the end of the year. We have in-between the shift you were indicating, which certainly, I mean -- that's just mathematics between growth of sales and a slight decline in profits. Mathematically, of course, we will have decreasing earnings per unit, and accordingly, slightly decreasing revenues as well relative to the mix we discussed before. You were asking, I missed to answer that, to which extent we plan to outsell the market development. There we said that we expect something between 2% and 4% in an overall market development on a global basis. Of course, we base that on a certain structural mix of growth decline in Europe, slight decline in Europe, increasing the S and so on. I would say -- no, I wouldn't say -- I say that our plan is to have higher sales increase than this market increase. It's slightly impacted by the way how these 2% to 4% materialize depending on which regions the growth comes from in the first place. But I think our expectation there is relatively safe as far as slow sales in Europe and stronger in the U.S. and China. That was it from my side.
Horst Schneider - HSBC, Research Division: Sorry. Just a follow-on question. So the premium market is then growing by how much? Because I think you talk about the total market, right, including mass, so?
Dieter E. Zetsche: We are not differentiating this at that point in time.
Bodo K. Uebber: Your question with regard to free cash flow, the free cash flow should be substantially positive, but we don't give the precise guidance. We might change it during the course of the year, but for the time being, we stay with that message.
Horst Schneider - HSBC, Research Division: And also too early to say anything on working capital impact, so?
Bodo K. Uebber: Exactly.
Michael Mühlbayer: Okay. Next question we take from Fraser Hill.
Fraser Hill - BofA Merrill Lynch, Research Division: Fraser Hill from Bank of America. At first, 3 questions here. Firstly, on pricing in cars, I'm just wondering if you could give us a bit more detail on both the pricing side and also the launch cost side, particularly as it phases throughout the year. Interested how net pricing will be positive given, as you said, your flagship product is going to be running off throughout most of this year. Also with the C-Class changeover in 2014, perhaps there might be a few pressures towards the end of that model cycle, and maybe E-Class at the beginning of this year. So I'm just interested how on a net basis, you see the dynamic coming up positively. And also beyond that, and if you look at those model launches, how substantial the launch costs are going to be particularly for the first half? If you could give us some direct quantification, that would be useful. Second question would be on your China business. You've also taken action there. When do you think you will start to see a pickup in your China sales? If you look at the January data, again, I think you guys were up 15%. But in your market, it was up 50%, and so there's still a lack of leverage. And I guess it's going to take some time, but when do you think it will actually start to translate into a pickup in your end sales in the region? And then finally, looking at your inventories across the businesses and particularly with regards to trucks, where are you at in terms of, perhaps, let's say, inventory data sales at your Truck business? We've heard a lot from your competitors in Europe about extra stop days being taken at Scania and Volvo and production shifts being scaled down into the third quarter. Is that something that you think you're going to have to continue to address or have you got a fairly tight level of inventory today?
Dieter E. Zetsche: First, we told you that for 2012, we're intending to grow for positive pricing. It was a tough year, as you know. We started with some burden and as far as our China action in February is concerned. You know about that. In spite of that, at the end of the year, we had a slightly positive net pricing, which I think in this competitive environment, especially in Europe, was not too bad as a performance. Going forward, as you rightfully mentioned, we have the same intention, flat to slightly positive. Of course, you're right with the S-Class being in the last phase of its cycle before the renewal, C-Class potentially having an impact before the renewal next year, so that's certainly correct. On the other side, we have the E-Class where we think we have basically a new car. As far as the change is concerned, we have obviously the growing family of compact cars. So we think we have a number of positives as well. And once again, not just as an average of the average but developed from per car line, per market, we develop this plan of flat to slightly up. At the end, of course, competition will have its impact. And this is our plan; we hope we can realize it. China business, I think we did not give the impression that we expect making this decisions with Hubertus Troska, and -- the new sales guy in China and bringing the 2 sales entity into 1 unit, 1 legal unit. And next month, our sales will skyrocket. These are prerequisites, and now people have to work hard to develop results out of that. Therefore, certainly, it's good to be up in January. We will see how the next months will develop. We think that the coming products are important anchors to link our increased momentum, too. Perhaps an anchor and momentum goes -- doesn't go too well together but are good places to start from. And there, of course, we have a certainty label during the introduction of the new products in Europe and in China. So with E-Class, we can count from midyear, the S-Class to the later part of this year. These will be good opportunities. Certainly, on top we have the CLA and the A-Class there as well. So all of that together, we definitely expect the momentum to start a bit throughout this year but don't expect major changes in February, March, and April to happen. Inventory I think, Andreas?
Andreas Renschler: Your question about the inventory, let's try to answer it this way. We don't have the issue with inventory. We have a very low level. If it comes to capacity adjustments there, we have a different picture. At least, as you know, we expect a very meek or meager or let's call it not so strong market in Europe and the United States in the first and second quarter. In Europe, we have a lot of flexibility in our plans. We already reacted last year by laying off our temporary workers in auto message [ph] that we have established there. In the U.S, maybe you have heard, we reacted already because the order intake is on an okay level but not as strong as it could be, so we had to inform our employees there that we plan to lay off up to a certain number of people. And there's the possibility that we can call them back, of course, the next 6 months, but this was already a capacity adjustment we did. In the auto market in Brazil, to come to that, it's a different way there. We see production increase, so we had to recall some of our employees in the production area there. So it's a mixed picture. But basically, in Europe and in the United States, it's like I said.
Dieter E. Zetsche: Let me just add one more sentence. The confidence in the new product is not just our nice feeling in our stomach, but it's based, among others, on customer clinics we did with the new E-Class and the new S-Class, which both of them clinics did extremely well, generally, but particularly in China as well. So this is certainly a good indication that we have a strong weapon there on our hands.
Michael Mühlbayer: Okay, next in line is Rabih Freiha.
Rabih Freiha - Exane BNP Paribas, Research Division: I have 3 questions actually, and maybe the first one on the CO2 regulation. We saw in your presentation that you made some significant improvement in reducing your CO2 emissions in 2012. Do you believe that you should be able to comply with the CO2 regulation in China by 2015 for your local and imported cars? That's my first question. My second one is on CapEx. Do you think that there's any risk that you could overshoot the targets you set for CapEx and R&D for 2013, '14? Or should we consider these as cap to these amounts? And maybe one last one, as a housekeeping question, on eliminations. I was looking at your eliminations line and the ongoing EBIT. We saw quite a sharp swing of EUR 700 million year-on-year. Could you explain what's behind this and also maybe how we should think about it going forward?
Dieter E. Zetsche: As far as CO2 emission in China is concerned, based on the current knowledge about these regulations, we expect fulfillment. There was, for some time, some speculation there that instead of limits, CO2 limits for specific car lines depending on weight, there could be an overall fleet cap on top of that. If that would materialize, every car manufacturer would have significant challenges. At that point of time, we are not counting on such regulations. So that is the remaining uncertainty. But other than that, we feel good about these numbers. CapEx, Bodo probably will say something. I would say we have a clear plan and we have limited resources and we want to pay dividend there. And therefore, we have to -- if necessary, we, have to take actions if we were to go through this threshold. So that is certainly our objective not to do so.
Bodo K. Uebber: Okay. I don't have to repeat it because Dieter has already said. These are fixed budgets. To your questions on reconciliation, elimination including in 2012, we had a one-timer of the sale of EADS which was roughly EUR 700 million. The equity reside was roughly EUR 300 million in the total year of EADS, makes it a total of EUR 1 billion. So if you eliminate these 2 elements, you come up with a negative of minus EUR 100 million. This includes also the elimination piece, which we had also last year, so can, going forward, say it's EUR 100 million to EUR 200 million negative, the elimination and the reconciliation line item without EADS impact.
Michael Mühlbayer: Next in line is Stuart Pearson.
Stuart Pearson - Morgan Stanley, Research Division: It's Stuart Pearson at Morgan Stanley. 2 or 3 questions. Just starting on the Mercedes side, in the walk-down that you healthily provided us the headwind of EUR 775 million. I think that's the largest number you've probably reported in a quarter. I wondered if you could just explain a little bit more what's in that quarter in that number? I guess maybe the Chinese need a support force in there. But I also wonder, I know you said pricing was just about positive in 2012, but wherever there's some more content to help you incentivize the vehicle sales that went into that number in Q4. And just following on from that, how do we expect that to continue in Q1, where we should still expect Mercedes margin in Q1 to be weaker than in Q4 however it could start to improve as early as Q1. That's the first question. The second question, just on R&D. I note in the planning that you now plan for that to start coming down your going forward at a time, I guess, when some peers are starting to increase that number. I wondered if you can just reassure us that's coming down due to efficiency savings perhaps you're finding and we're not at risk of repeating some of the underinvestment of the past. Presumably, that's efficiency savings. But just explain it a little bit more on that? And the final more general question, just on the guidance, given the experience of last year, I just wondered how you can reassure us all that this time the guidance is conservative enough. I mean, I know because you're looking for a flat to positive pricing. It think you said earlier Euro dollar at 1.30 to 1.35 range. It's already above that. But just generally how conservative are your assumptions on volumes, price and so on in that guidance so we won't see a repeat of last year?
Dieter E. Zetsche: As far as the headwinds are concerned, one of the Q4 -- one very important element was the reduction in stock, and therefore, the non-coverage of fixed costs, which obviously was cared for by building the inventory already before. So that is a major part, which probably you didn't have on your screen by looking to this headwind part. Going forward, as far as the guidance is concerned, I would not call that a very conservative guidance there, but it's our best take on the future under these assumptions we have given you as far as the markets are concerned.
Stuart Pearson - Morgan Stanley, Research Division: Okay. And on the R&D, just the real reasons why that's starting to go down now? It seems to be dropping below 5% of sales, and I think I was going towards more like 6% or 7%. So just the reasons for that decline?
Dieter E. Zetsche: On the car side, we plan on constant R&D, which obviously with growing revenues, leads to a lower percentage point. On the commercial vehicle side, we have declines because we have gone through the biggest new development phase of our history on the truck side, and this is now not coming to an end, but certainly being at the rear end of this big mountain. And therefore, there the R&D costs goes down.
Michael Mühlbayer: So next in line is Jose Asumendi.
Jose M. Asumendi - JP Morgan Chase & Co, Research Division: Jose Asumendi, JPMorgan. A couple of items. First one on the pricing in China. The data we are tracking suggest that your incentives are starting to rise again in January after the small downward turn in your October number. And it was mainly driven by the S-class. So I'm just wondering whether you recognize this trend and do you expect this to accelerate also over the next 2 quarters. And second, and just to assess the guidance, and I would like to specifically please hear whether you are actually building a currency tailwind in your guidance, if you are also assuming incremental one-offs for the dealer volume investments of discounting of provisions, bus restructuring costs. And if you could please quantify the S-Class launch costs in the second half. So basically the basket of one-offs which are or -- excuse me, the basket of one-offs, which are basically the bonus for Chinese dealers, discounting of provisions, restructuring and bus costs and the S-Class launch cost.
Dieter E. Zetsche: Pricing in China in January, our best information is that they have slightly improved in the region overall. So I don't know where we have potentially different data referring to S-Class. As far as the rest of the questions are concerned, I'll lead it over to Bodo, who will decide what we can answer.
Bodo K. Uebber: Your question of one-offs. First of all, the discounting of provisions, of course, we assume currently that the interest rates are stable. And therefore, we have not included in our guidance any further decrease of interest rates, which would lead to a further discounting of provisions. So it's not assumed that we have an interest decrease or increase over flat development means no impact on discounting of provisions. Secondly, we were referring to restructuring costs, so that we have given clear guidance to ongoing business. So as long as we don't know precisely what the restructuring cost, we can't tell you what they are. So we will define, for example, for the European business and Latin America business how big the piece is, and we'll inform you soon as we can when we have the numbers together. The third question you had to currency, yes, that's right. On the current level, it's a headwind, which is we have from the currency side, it's roughly EUR 200 million. And we plan our guidance on the current -- around the current level of the U.S. dollar. I think that's it. In addition to [indiscernible], specifically also in the bus field, I put it on. In the bus field, we put everything, what we need in the 2012, so there is no specific big SRE foreseen for the bus restructuring.
Jose M. Asumendi - JP Morgan Chase & Co, Research Division: And support for the Chinese dealers, EUR 100 million per quarter, is that going to take place as well?
Dieter E. Zetsche: Our plan is not to have a continuous dealer support number. Obviously, of course, it depends on the development of the profitability of dealers, that's pretty evident. But that is not our basic planning.
Unknown Analyst: The next question we take from Michael Tindar. [ph]
Unknown Analyst: it's Michael Tindar [ph] from Barclays. Two questions, if I may. The first and maybe I'm being a bit silly here, if I look at your fact sheet for Mercedes-Benz, I see that unit sales in Q3 -- sorry Q4 were roughly 400,000 units and retail sales are 380,000 units. So there's a delta there of 17,000. It was 10,000 in the third quarter. Just thinking about what you've said on inventories, I mean, are we still looking at an inventory issue going forward that you need to work down? Presumably that's a difference between wholesale and retails that I'm looking at there. And then the second question just relates to trucks in Latin America. It looks like your book-to-bill was less than 1. Certainly, all of your competitors are saying that things are doing quite well in Latin America for them. I'm just wondering whether or not there's something else in your numbers that has you slightly out of step with your peers at the moment.
Dieter E. Zetsche: As far as inventories on the car side are concerned, the year-end level, if anything, is rather too low than too high, so we certainly don't have company stock issue. And in January, we have seen some significant reduction of dealer inventory as the gap between company sales and retail sales. So we think our inventory at the dealer level and at the hotel level is just fine.
Unknown Analyst: Sorry, can I just come back to you on that? So what is the difference then between those 2 numbers? How should I look at that?
Dieter E. Zetsche: Perhaps, we had retail of 95,000, something like that, and I think it's about 12,000, the difference in January. About 12,000 more retail than group sales.
Bodo K. Uebber: The question about the Brazilian situation when it comes to order intake, so far we have a system in Brazil that, I would say is counted at the same time as order intake. Why is this the case that the system that we have whatever having the last, whatever, 20 or 30 years? The reason is very simple there. Despite in the U.S. or in Europe, we have customer orders all the time. It goes through the dealers and customers are buying it in Brazil from the dealer stock. This is not so satisfying because order intake is at least sometimes misleading, though, we're at the moment, working in the last couple of months to changing the system. In the second half year, we will also have there a different order intake. It's not identical any longer with the wholesale. Again, we are changing the system that it's then more comparable to what you see from the competition. To give you a feeling, as I said, we are increasing or we increased capacity already in production. The market is going up, no doubt, after the depressed situation last year. And we rehired already production people and we ramped up through the year. It's first quarter, then second quarter and then, of course, the majority will come in the second half, like in the overall business in our truck area.
Michael Mühlbayer: The next question we take from Stephen Reitman.
Stephen Reitman - Societe Generale Cross Asset Research: I have 2 questions. First of all, your guidance for 2013. On Mercedes, you suggest that the first quarter is going to be the weakest. Should we assume that the exit quarter, the fourth quarter 2012, the rates of around the 5.3% level is the level you can think you can actually maintain the first quarter of 2013? And so is again to look -- will you think the year looks likes a mirror-image in reverse between 2012 and 2013?
Dieter E. Zetsche: Sorry. Unfortunately, we have a miserable line here. We only hear half of what you're saying.
Stephen Reitman - Societe Generale Cross Asset Research: If I can just repeat. Your guidance is that the first quarter 2013 will be the weakest quarter for Mercedes passenger cars. Should we assume that the margin level be around about the level we saw in the fourth quarter of 2012? My second question is on the front-wheel-drive vehicles. You're launching CLA. Could you explain the measures you will take to protect the C-Class against the more -- against the -- could well be a competing product? And could you give some feedback on how the A-Class is doing, in particular how it's addressing its target; market in terms of age group and the like?
Dieter E. Zetsche: ; To your first question, the first quarter should rather have a lower running rate than the fourth quarter of 2012. The CLA, what we primarily focus on is to position their new CLA and the new C-Class as much apart from each other as possible. That might not entirely apply to the current C-Class than the CLA, so there might be a little more substitution from what we expect with the new C-Class, which is obviously being launched in 2014. And therefore, this was our focus. As far as the marked perception for the A-Class is concerned, we continue to be short in the A-class sales as in the B-Class currently and in our plan for 2013, so we are looking for every unit we could get out of our plans and still from today's perspective cannot fulfill the requirements of the market. So altogether, we are very happy. So far with the reaction to our new compact car vehicles and on CLA. We cannot talk about orders, so about sales, but the initial reaction, you might have seen that as well, sounds very promising.
Stephen Reitman - Societe Generale Cross Asset Research: And is it getting the younger demographic that you're seeking, the A-Class?
Dieter E. Zetsche: When I think about what of the A-Class?
Stephen Reitman - Societe Generale Cross Asset Research: Is it getting the younger demographic?
Dieter E. Zetsche: Sorry, sorry, sorry. I didn't hear you. First of all, we have at this point in time 40% Conquest with A-Class, which is a pretty strong number. And secondly, the share of younger customers is growing basically from month to month. It's somewhat normal that when we launch a new product, that the classic Mercedes owner comes in first and orders before he or she has even seen the vehicle. Therefore, we have a normal situation that in the beginning we are relatively much with our traditional customer base, and this is seen here as well in the sense that we now have a strongly declining average age on the buyer base of the A-Class. So again, going in the direction we were hoping for.
Michael Mühlbayer: Next in line is Frank Biller.
Frank Biller - Landesbank Baden-Wurttemberg, Research Division: It's 2 questions. The one question is on the tax rate. Here in the fourth quarter, there was a very low tax rate here. And so my question is maybe you can quantify this Q4 effect and also talk a bit about the presumed tax rate for the years to come? And the other question is on Mercedes-Benz Cars again. So you are well behind the competition, to name it, BMW and Audi. And so my question here is, when are you addressing to be at the same level as your competition?
Dieter E. Zetsche: While Bodo is looking for the tax rate I can answer the last one. We set our target as latest as in 2020. And of course, we do not plan to stay with the current gap till 2019 and then start catching up as clear as well. But that is our official target latest in 2020.
Bodo K. Uebber: Your question was in regards to the tax rate. The income tax rate expenses for 2012 of EUR 1.2 billion -- Last year, 2011, it was EUR 2.4 billion -- decreased partially due to the lower pretax profit. The profit before income taxes in 2012 includes the mainly tax-free gain on the sale of EADS share. Both years were affected by the tax benefits on the reversal of impairments recognized on deferred tax assets. And 2012 was also affected by tax benefit from tax assessments for prior years. So you're right. The effective tax rate in 2012 was 15.8%. Looking forward, normally, we have a tax rate between 30% and 33%. If we don't look at the exceptionals, the sale, of course, of the portfolio and other topics are exceptionals, so in the long run, you should calculate between 30% and 33%.
Michael Mühlbayer: Okay. Next question we take from Jochen Gehrke.
Jochen Gehrke - Deutsche Bank AG, Research Division: Yes. Two questions, if I may. First of all, on the trucks, Mr. Renschler, you maintain a return margin goal for the midterm. When I look at the reporting line, ever since you have stripped out trucks, you've made on average 5% return. And so far, the 8% was hardly ever achieved in the peak. Now your competitors come out with the numbers, and I think it's fair to say that currently, we are seeing a slight drift in profitability in the truck industry as a whole. Assuming in a year from here we're not seeing the 8%, would you ever consider lowering that through the cycle margin target especially the 200 to 300 basis points above the 8% which we have so far yet to see? And secondly in that same regard, why should we be so confident that when you have a 5% margin give or take on revenues that are quite respectable in the historical context that you can double that and where is really the big gap coming from? And then the second question to Dr. Zetsche, I think it's not a real secret that we are shortly ahead of your term renewal. The press is talking a lot about it. I don't necessarily want you to comment on that. But assuming you stay on as CEO for the next coming years, when you look back into the last couple of years, what do you think has gone wrong, what is explaining this main gap to BMW and Audi? And are we looking for any strategic internal structural charges and how you are approaching the organization, how quick the response of management is to changes in markets environment, or is this really that when you see all this criticism that comes from the outside, in your view, it's only a lack of product and in 2 years' time, we will basically just reverse our opinion and see the fruits of that work?
Andreas Renschler: We are definitely convinced that product is key in our business and that is the main lever for growth and for profitability. And from all we see with the product we have launched most recently, our confidence in our pipeline is justified. On top of that, and that's why we had added MB 2020, we'd go for 10. We certainly see some areas where we are lacking under cost side as well. These we have addressed. The plan for '13 to '14, addresses of course, there are traditional ways of cost reduction, but as we perhaps have seen to some extent in the past that some of these costs bounce back, we are more focused than in the past on additional structural changes, which then should make sure that these reductions are permanent and sustainable. So that is basically -- these are basically the 2 elements, as I explained this morning, which will lead us to in a competitive perspective, satisfying, a positive development for the future.
Dieter E. Zetsche: Mr. Gehrke, your questions, the first one, I can answer very shortly. We are staying to our 8% result. We have said before and there's no reason to change this. The second thing we can talk, maybe I can talk to others about it, what we have done about is basically summarized in our Global Excellence strategy. To only gives you some ideas, the markets didn't support us through the last 2 years very well. It as you rightly said, can also see some issues that competitors are struggling at the moment. But basically, we are following our Global Excellence strategy. We are focusing now to achieve our long-term goal in -- [indiscernible] total new products we have launched in Europe. We have worked in last, whatever, 6 years to come to this point now. End of the year, we have the full product launch, including the new construction side, [indiscernible] then the [ph] streaming for the modular concept. And as you know, we have now, first the time one engine available in the heavy-duty side. In addition to that, our activities in so-called BRIC or emerging markets, which we have established the last couple of years now. We are starting to harvest also from them. So again, I can talk -- this question, we can talk a long time for it. But to give you some hints that we are still confident, many of the markets are supporting us one time because we have never achieved a normal year market that we need, of course, to achieve a certain profitability.
Michael Mühlbayer: Okay. We take the next question from Michael Punzet.
Michael Punzet - DZ Bank AG, Research Division: It's Michael Punzet, DZ Bank. I have 3 questions. The first one is on your given guidance for the trucks. When I compare their market expectation for trucks and compare that with your own expectations for truck sales, maybe you can explain a bit in more detail why you're much more optimistic on your own truck sales compared to the overall markets development. Then the second one is on financial services. There in Q4, we saw truck of EBIT margin of 2 percentage points. Maybe you can explain a bit what's happened there and give us some indication of what is a good run rate assumption for the coming quarters or the coming years. And the last one is on EADS. After the sales stakes thereof how you will account your remaining stake in your accounts in the coming quarters?
Dieter E. Zetsche: To answer your first question, as I said before, we have launched in all the regions totally new products, and we gained already market share in 2012 and we will -- our intention is to gain more market share. Though the markets aren't supporting us but our products are helping us in all the region in the U.S. or in NAFTA, here in Europe specifically, but also in Asia and in Brazil with our new Euro V fleet there. We see a good chance that we can gain market share. So that's the reason for our guidance when it comes to sales.
Bodo K. Uebber: Your question with regard to the financial services, last year, in 2011, we had releases of provisions, which we hadn't had this year. The overall cost of credit loss level is on a good level, and I don't expect it to deteriorate in 2013. We will see slight increases, which are underneath the long-term average. In 2013, I don't think you can account for a stable profit development compared to 2012. EADS is for the time being, accounted for at equity because we don't have any decision on -- within EADS on the agenda and the governance. Our forward decision is yet missing. We will see an extraordinary annual meeting in the first half-year. If that, of course, comes up, in the annual meeting we'll make a decision on the changed governance, we have to change our equity accounting, and we will inform you about the impact on the financials.
Michael Mühlbayer: Okay. Next in line is Christian Ludwig.
Christian Ludwig - Bankhaus Lampe KG, Research Division: Christian Ludwig from Bankhaus Lampe. I have just one question. In the presentation at the Hungary plant opening last year, you showed us a slide, where you said you're -- you're going to produce at least 10 additional models by 2015. Now in your presentation you're talking about 13 new models until 2020. I just wanted to understand what that means. Does that mean that after 2015, we'll basically see a significant decline in new model launches or are you spreading out the new model launches over a longer time period?
Dieter E. Zetsche: First of all, since we announced the 10 new models till 2015, we already launched some of them. So the remaining number is lower, including this remaining number. And adding the ones we have already decided for by today for the years after 2015, we come up with this number of 13. That is the current count, and it's not unlikely that in the coming years we will add more product to our portfolio, which perhaps could be launched even before 2020 and further increasing this number. But this is the current count, the remaining part of the 10 and the additional part after 2015.
Christian Ludwig - Bankhaus Lampe KG, Research Division: Okay. Just for my calculation, could you tell me how many of the 10 you announced last year you have already launched in the timeframe?
Dieter E. Zetsche: We have launched 2, that's the CLA and the Shooting Brake. But these are 2, which we already have launched.
Michael Mühlbayer: Okay. The next in line is Philippe Houchois.
Philippe Houchois - UBS Investment Bank, Research Division: Two questions. The first one is on the pension health care liability. It's up -- the funding deficit is about up EUR 3 billion in the year, mostly on discount rates. I just want to know if that changes your funding requirements. Do you intend to basically step up your cash contribution to pension? And the second question is, back in, I think, March 2010, you settled with the SEC on some bribery or corruption charges. You went into some kind of supervision regime that I believe, ends after 3 years. So my question is, the first one is, are you going to be off that supervision in the second quarter? And two, more importantly, was that situation, which covered no issues in the U.S., Russia and China, was that in any way an impediment to you to being able to do business in those regions and might explain some of your underperformance? Or was it just not -- a non-issue?
Dieter E. Zetsche: Well, we have signed a so-called deferred prosecution agreement, which had ended by the end of last year, so the answer to your first question is yes. But to the second one, there was no whatever elimination of sales in any of the regions where we found wrongdoings in the past. Of course, we had established a lot of processes to make sure that any FCPA-related or other non-integrity conduct that would happen, could happen, these processes, especially while being established of course, were an additional challenge to our sales organization, to our financial community, in the organization and more. But there's no cut-off of markets that has to happen or something like that, which now would be reversed.
Bodo K. Uebber: Your question with regards to pensions, we don't plan for a further specific pension contribution in 2013. The EUR 350 million we did in EvoBus for 2012 was a piece of a longer-term strategy, which was in combination to the 2011 special contribution. So there's no further contribution in '13.
Michael Mühlbayer: Okay, we have last but not least, it's Christian Breitsprecher.
Christian Breitsprecher - Macquarie Research: It's Christian Breitsprecher from Macquarie. I have 2 questions, and the first, on trucks. Two of your competitors are talking about their problems in Russia because of these recycling fees they have to pay. Do you have similar problems? Secondly, on the pension accounting and because of the increase in the discount rate, the nominal amount of underfunding has gone up significantly. What are your plans in terms of moving that on to the bill and balance sheet what you're having at the moment just kind of in a side calculation?
Dieter E. Zetsche: I can make a very short. No, we have not an issue because we have our strategic partner, Thomas. We ended with them in the so-called Decree 166, so our products are local manufactured.
Bodo K. Uebber: Christian, your question with regard to the change in accounting treatment of the underfunded pension position, that is the IAS 19R, which will be accounted for in the first quarter of 2013. And that means that we then have to move the underfunded position into the equity. Of course, everybody has to do so. Roughly, the number of EUR 6.4 billion which will move from the underfunded position and reduce our equity. Our equity ratio industry-wide, industry, I have already said that it's roughly 46%, so it was a very high level. At it's also, say, reduced on to 40%, which is a very solid and healthy number.
Michael Mühlbayer: Thank you, ladies and gentlemen. Thanks for your questions, for being with us today. Investor Relations will be at your disposal to answer any further questions you may have. We hope to talk to you again soon. Thanks, and goodbye.